Operator: Welcome to the QIWI First Quarter 2013 Earnings Call. A replay of this call will be available until Tuesday, June 11, 2013. Access information for the replay is listed in today's earnings press release, which is available on QIWI's Investor Relations website at investor.qiwi.com. For those listening to the repay, this call was held and recorded on June 4, 2013. 
 Before we begin, I would like to remind everyone that this call may contain forward-looking statements as they are defined under the Private Securities Litigation Reform Act of 1995. These forward-looking statements about the company's expectations for future performance are subject to known and unknown risks and uncertainties. QIWI cautions that these statements are not guarantees of future performance. 
 All forward-looking statements made today reflect current expectations only, and the company undertakes no obligation to update any statement to reflect the events that occur after this call. Please refer to the prospectus on Form 424B4, filed on May 3, 2013 from QIWI's initial public offering, filed with the Securities and Exchange Commission for factors that could cause actual results to differ materially from any forward-looking statements. 
 During today's call, management will provide certain information that will constitute non-IFRS financial measures, such as adjusted net revenue, adjusted EBITDA, adjusted net profit and adjusted net profit per share, reconciliations to IFRS measures and certain additional information are also included in today's earnings press release. 
 With that, we'll begin by turning the call over to Sergey Solonin, Chief Executive Officer for QIWI. Sergey, please go ahead, sir. 
Sergey Solonin: Thank you, operator. And good morning, everyone. Thank you for joining us on our First Quarter 2013 Earnings Conference Call. The first quarter of 2013 represents a strong start of the year and a great way for QIWI to begin a new chapter in -- as a publicly traded company. 
 As you are aware, we successfully completed our initial public offering on May 8th, and I want to thank the entire QIWI team for their hard work and dedication throughout that process. 
 I also want to thank and welcome our new shareholders. 
 And now I'm pleased to share with you our business highlights for the first quarter, as well as some important recent announcements. In the first quarter, QIWI experienced strong operating performance, as we continued to execute on our core growth strategy and leveraged our significant competitive advantages. 
 First, we reported adjusted net revenue growth of 50% year-over-year to at most RUB 1.3 billion. Our first quarter revenue growth was driven by strong growth in payment volumes over our full integrated network and growth in value-added services. 
 Second, we reported adjusted EBITDA growth of 105% to RUB 611 million, and extended our adjusted EBITDA margins to 47.6% from 34.7% a year ago, highlighting the significant operating leverage in our business. 
 Third, we reported adjusted net profit of RUB 455 million, more than tripling our adjusted net profit as compared to the year-ago period. And finally, on May 31, our Board of Directors approved a special dividend in the amount of $0.29 per share, or approximately $15 million with the record date of June 17, 2013, and the payment date of June 18, 2013. Alexander Karavaev, our Chief Operating Officer, will review these results in greater detail later in the discussion. But before turning the call over to Alexander, I thought -- think this is our first quarterly earnings call as a publicly traded company, it will be helpful to provide a brief overview of QIWI and our strategy for long-term profitable growth. 
 QIWI is a leading provider of next generation payment services in Russia and the CIS, with strategic presence in 8 countries. We have an integrated proprietary network that enables payment services across physical, online and mobile channels. We have deployed approximately 13 million active virtual wallets, over 165,000 kiosks and terminals, and enabled over 47,000 merchants to accept over RUB 41 billion in cash and electronic payments monthly from over 60 million consumers. 
 Our consumers can use cash, stored value and other electronic payment methods in order -- and pay for goods and services across physical or online environments interchangeably. 
 We believe the complementary combination of our physical and virtual payment services provides differentiated convenience to our consumers, and creates a strong network effect that drives payment volume across our business. 
 Our network of interactive QIWI Kiosks also enables us to provide advertising services, and billions of transactions we process annually allow us to collect and analyze valuable data -- value-added services. 
 We believe that our leading market position, strong brand, proprietary network and complementary service provide us with significant competitive advantages that have enabled us to generate strong growth and profitability. 
 So how do we plan to drive continued solid and profitable growth into the future? First, we intend to grow our business by expanding the number of participants in our networks and increasing the utilization of our payment service. We will do this by enhancing the value of our core payment services, adding new payment options and new merchants, introducing value-added services that altogether would drive new consumers to use our services and use them more and more frequently. 
 Second, we intend to leverage our large, active base of consumers who use our kiosks and terminals to drive the adoption and usage of our other payment offerings, such as our virtual Visa QIWI Wallet and companion Visa prepaid card. 
 Third, we intend to leverage our existing infrastructure to introduce new and value added high-margin products and services to address evolving customer demands that provide cross-selling opportunities, and to expand existing value added services such as targeted marketing and remote banking. 
 Fourth, we plan to expand our operations into other countries by investing directly into markets where we can leverage our operational experience, franchising our operations or licensing our technologies to selected payment providers and networks. 
 And finally, we intend to make Visa QIWI Wallet a global online and mobile paying, and processing, and money transfer system to reach any Visa member bank, or be able to offer a Visa QIWI Wallet account to its customers. 
 In summary, our first quarter results were strong and demonstrate our ability to execute on our long-term growth strategy. Looking to the future, we are very excited by the multiple opportunities that our scale of leading brand and unique set of access and capabilities provide us to expand our business further and continue to drive long-term shareholder value creation. 
 And now, I will turn the call over to Alexander, who will discuss our financial results in greater detail. 
Alexander Karavaev: Thank you, Sergey. And good morning, everyone. As Sergey discussed earlier, QIWI generated strong financial and operating results in the first quarter of 2013. Just by way of background, although it's new [indiscernible] our QIWI distribution segment primarily generates revenue derived from our payment systems offered through our kiosks and terminals. Our Visa QIWI wallet segment generates revenue from payments processed through virtual electronic wallets and bank prepaid products, including our prepaid card business. Our primary source of revenue in each of these segments are fees that we receive for processing payments made by consumers to merchants, based primarily on a percentage of the value of the transaction that we process. In certain cases, payment processing fees are paid to us by merchants for collecting payments on their behalf and in certain cases, payment processing fees are paid by our consumers and transmitted to us by our agents, or paid by our consumers directly to us. We typically pass on a portion of the fees paid to us by merchants to our agents. We generate additional revenue from advertising and certain other high-margin non-payment service. 
 On a quarterly basis, we plan to report both revenue and adjusted net revenue. Adjusted net revenue calculated by subtracting cost of revenue from revenue, and adding back payroll and related taxes. We believe that adjusted net revenue when reviewed together with our revenue, is meaningful in terms of understanding our performance, since it reflects the portion of revenue that QIWI retain, net of fees that we pass throughout our agents and other business partners. 
 Now moving to our first quarter results. On a consolidated basis, our total revenue increased by 32% to RUB 2.5 billion compared to RUB 1.9 million in the first quarter of 2012. Our adjusted net revenue for the quarter increased by RUB 427 million, or 50%, to reach almost RUB 1.3 billion, as compared to RUB 857 million in the first quarter of 2012. 
 The underlying segment. QIWI Distribution segments net revenue grew 29% to RUB 758 million. Revenue growth was driven first by 14% growth and payment volumes to more than RUB 117 billion as compared to RUB 103 billion in the prior year. Second, by the growth of our higher-margin value-added services. For example, the revenue from advertising increased by more than 150% in the first quarter of 2013, as compared to the first quarter of 2012, to reach RUB 133 million. The revenue from advertising constituted more than 5% of the total consolidated trading in the first quarter of 2013, up from less than 3% in the corresponding period in 2012. It is also worth mentioning that the increase in the payment volume of QIWI distribution is fueled by the significant network effect. It was in a way that the more loyal consumers are using Visa QIWI Wallet the larger that the lowest of the virtual QIWI Wallet through our distribution network. That drives volumes and revenues of QIWI distribution. To this trade effect, the intra-group revenue of QIWI Distribution in the first quarter of 2013 constituted approximately 34% of the total gross revenue of QIWI Distribution for that period, up from approximately 17% for the corresponding period in 2012. As you may well understand, these intra-group revenues are predominantly coming from Visa QIWI Wallet segment. 
 Our QIWI -- our Visa QIWI Wallet segment net revenue more than doubled to reach RUB 505 million from RUB 236 million in the prior year. Revenue growth was driven primarily by 107% growth in payment volumes to almost RUB 54 million, which is the effect of predominantly 2 factors: First, 4.3 million, or 49% increase in our active Visa QIWI Wallet accounts to 13 million; and second, 38% increase in the average quarterly volume per QIWI Wallet to reach RUB 4,134. 
 Moving to the expense side of our income segment. Our cost of revenues excluding depreciation and amortizations, worth RUB 1.5 billion for the first quarter of 2013, representing an increase of RUB 232 million, or 19% as compared to a year ago. The growth in our cost of revenues was primarily due to an increase in our transaction cost by 220 -- RUB 212 million, or 22%. The transaction costs include the portion of our processing revenue that we passed through our partners. The increase in transaction costs is predominantly driven by the growth in transactional volume. 
 Total selling, general and administrative expenses were RUB 543 million for the quarter, representing an increase of approximately RUB 129 million, or 31%, as compared to the corresponding 2012 period. The increase in our selling, general and administrative expenses was primarily due to an increase in our payroll-related expenses by RUB 46 million, or 24% to reach RUB 331 million, and RUB 20 million of operating expenses revised recently completed IPO. 
 Depreciation and amortization expense for the first quarter of 2013 was RUB 26 million, representing a decrease of RUB 30 million from RUB 40 million in the corresponding 2012 period, primarily as a result of short and long lease assets has been fully depreciated and/or amortized. Record of the foreign exchange gain of RUB 3 million in the first quarter of 2013, there was also a foreign exchange loss of RUB 45 million in the corresponding 2012 period. Foreign exchange loss in the first quarter of 2012 was primarily due to the devaluation of cash balance and loans issued in U.S. dollars and Euro against Russian rubles. 
 Other expenses were RUB 1 million in the first quarter of 2013 compared to RUB 27 million in the first quarter of 2012. The decrease was primarily due to the reduction in shared losses related to noncontrolling interest by RUB 24 million. 
 Income tax expense was RUB 136 million for the quarter ended March 31, 2013, compared to RUB 51 million in the corresponding 2012 period. The higher income tax expense in 2013 primarily represents higher pretax losses from continuing operations. 
 Adjusted EBITDA for the quarter ended March 31, 2013 was RUB 611 million, an increase of RUB 313  million, or 105%, as compared to RUB 298 million in the corresponding 2012 period. The increase in adjusted EBITDA was primarily driven by the aforementioned growth in adjusted net revenues, a greater proportion of our net revenues coming from our higher-margin QIWI Wallet business and significant operational leverage now with QIWI.
 Adjusted EBITDA margin improved significantly to more than 47.5% from approximately 35% in the corresponding 2012 period. Adjusted net profit was RUB 455 million, or RUB 8.75 per diluted share for the first quarter of 2013, representing an increase of 216% from RUB 144 million in the corresponding 2012 period. The increase in adjusted net income was primarily driven by the same factors impacting adjusted EBITDA. 
 As Sergey mentioned, we successfully completed our initial public offering of 12.5 million Class B shares in the form of American Depository Shares at a price of $17 per share in May. They also comprise 100% secondary shares sold by certain stockholders. 
 Now, I would like to review our 2013 guidance and medium term outlook. For 2013, we expect our adjusted net revenue to roll between 23% and 26% versus 2012, to reach the midpoint of the range of almost 2 -- RUB 5.2 million. Based on our strong 2013 revenue growth outlook and our expectations for continuous margin improvement, we expect our adjusted net profit to grow between 27% and 33% to reach at the midpoint of the range almost RUB 1.7 billion. 
 Over the medium term, we maintained our annual growth target we communicated to you during our IPO. Specifically, we expect annual adjusted net revenue growth of 20% or more, continuous moderate EBITDA margin expansion, and adjusted net profit growth of more than 25%. 
 With that, may I kindly ask operator to open up the call for the question. 
Operator: [Operator Instructions] Our first question is coming from the line of Alexei Gogolev of JPMorgan. 
Alexei Gogolev: My first question would relate to your advertising revenues. Could you please discuss the trends that you've seen in the advertising, especially in the kiosk segment in Russia and Kazakhstan? 
Alexander Karavaev: I would first thank you for your question. Yes, as we presented, the advertising revenue was one of the drivers of growth of QIWI Distribution segment in Q1. And that actually is according to our expectations. Generally speaking, we believe that the advertising would be a growth driver for the next several months, and probably next year. In terms of the more midterm outlook, what we might say, the advertising that we are using for now, it's pretty simple and trivial. So it's SMS advertising and display advertising. Though, we are already having a lot of the projects in the pipeline, that will introduce new type of advertising, more types of the promotional campaigns, more targeted advertising, and those things while we can really leverage, the value of our base of what we have on our consumers. And that we believe will be the growth driver in the mid- to long-term. 
Alexei Gogolev: Okay, great. Also I had a question regarding e-commerce revenues. I realized that you don't disclose those, but could you at least say how much faster or whether the e-commerce related revenues will grow faster than QIWI Wallet revenues? 
Sergey Solonin: Thank you for question. It's Sergey. E-commerce right now is the fastest growing category in our category set. So it's growing faster than banks, which are growing quite fast, so it's outperforming right now. And we cannot disclose exact figures. 
Alexei Gogolev: Great. But could you elaborate what do you think is driving e-commerce in Russia? Particularly, because as we know, there are certain issues with Russian e-commerce such as pay-upon delivery. Has that trend been changing in Russia at all? 
Sergey Solonin: Well, we may say that we can see some changes in this pattern, and we think that we are only in the beginning of this growth. So we think that there is a lot of space to grow into, still. 
Alexei Gogolev: Understood. And my final question is about dividends. I'm very happy to hear about special dividends that you plan to pay. Any plans to introduce a regular dividend policy in the coming quarters? 
Sergey Solonin: Going forward, our Board will review the dividend questions every quarter, and besides based on the facts and circumstances in any specific case. 
Alexei Gogolev: Understood. But would it be fair to say that, given the pretty significant amount of free cash flow that you generate, what would be your policy for this cash? I mean unless there are any acquisitions, would you consider distributing any excess cash that you may have? 
Sergey Solonin: Historically, we did distribute the cash in the dividends forum over time, unless we have something that Board may review. 
Operator: Our next question is from the line of George Mihalos of Crédit Suisse. 
Georgios Mihalos: Just wanted to dig in on the yields a little bit. The net revenue yield was very healthy across both segments. You saw a nice expansion there. Would you expect, as you look at over the remainder of the year, to see the revenue yield in each segment pick up even further from what we saw in the first quarter? 
Alexander Karavaev: Hi, George. Thank you for your question. I know that we are not really exciting to watch the net revenue yields for what we are committed to achieve, it's the net revenue and the adjusted net profits for the year, exactly those numbers that we presented in our guidance. So generally speaking, net revenue yield is more a practical parameter for us. In certain cases, we made the monetizing a little bit more increasing the net revenue yield, and that's the same in Q1 for there are certain factors which affected the net revenue yield. One, would be the growth of e-commerce. And in that specific subcategory where we are usually having higher net yields. And secondly, is the value-added services, for example, the QIWI Distribution. Generally speaking in certain cases we made an actual report, they are referenced in the public, that we may continue to invest in our customer base. But hedging the services that would increase our customer base, but will not produce let's say high net revenue yield, and that both decisions will be taken based on the facts or circumstances, and based on the relation with any specific merchant. So generally speaking, we'll not be providing the guidance on the net revenue yields. 
Georgios Mihalos: Okay. And just to go back to Alexei's question, maybe if I could ask it a bit of a different way. I know you don't want to break out the revenue contribution from e-commerce, but is there a way to think about the percentage of volume over the Visa QIWI Wallet that is being sourced from e-commerce? 
Alexander Karavaev: Yes. Well, once we are not providing the numbers, so I can't really tell you, it's still not that large, I would say. So generally, we see that as a huge goal for us in the future. But still, I mean, as we report during [indiscernible] at banks, we'd still be the largest product category in QIWI Wallet. And it is followed by many product categories that actually none of those would be sharing a substantial share. So e-commerce is not that large so far in the portfolio. But it's outpacing all the other categories in terms of the goal. So we believe we -- and this affects the net revenue yield. So we believe that, generally speaking, it will be a goal in the future. In terms of the reporting, that's probably important to mention that, I mean look, we have specifically mentioned that in presentation of Q1 results. Now we see that the segment, the QIWI Distribution, the QIWI Wallet, are even more interconnected. Actually, they're connected more than ever. Both the QIWI Distribution, it's a tremendous instrument to attract new loyal consumers of QIWI Wallet, and the QIWI Wallet users appealing the volumes in QIWI Distribution. That's why we may seriously consider to report starting from next year a different competition of segment. And then we may come to reporting the separate product categories, like the banks, utilities, e-commerce and so on. But not as of now. 
Georgios Mihalos: Okay, thank you. And just last question for me. Anything different on the competitive front, maybe in terms of, again, this Burbank and Yandex wallet drive, are you seeing anything different in the marketplace? 
Sergey Solonin: Well, we think that right now, there are right in the initiation phase. And generally, we think that they're a very good competitor, though we're larger so far, and we're doing a lot of things to sustain our positioning. In general, I think that it makes a lot of sense for both sides, for Burbank and us to work together, and hope that this cooperation will finally happen. As for PayPal, we are, right now, in negotiations and have some discussions on the cooperations. So hopefully, we will be cooperating with PayPal. 
Operator: Our next question is coming from the line of Bob Napoli of William Blair. 
Robert Napoli: Question on the EBITDA margins. I mean, they were very strong this quarter. And do you -- was there something unusual, I mean that drove the margins to this level? Do you think this is a sustainable level of margin that you will grow off of? Or are there investments that you're making that would bring that down in future quarters? 
Alexander Karavaev: Yes. I mean, I think, in Q1 there has been no unusual items in the guidance. So it's basically the scale effect of the business. What we might say is just in certain expenses that we plan in terms of the R&D, advertising, they have not got the strength in full in Q1, so it will be some recap in the following quarters. But that will not be really impacting EBITDA a lot. So we believe that the level we achieved so far in terms of the EBITDA margin is sustainable. And going forward, mid- to long-term, we believe that -- I mean with the growth of QIWI Wallet, we will have some more of an expansion of the EBITDA margins. 
Robert Napoli: Okay. And just in line with that, I mean your guidance seems a bit conservative. And I mean as a new public company, are you trying to remain cautious? Or have you seen a slowdown in the business in the second quarter? What is your feeling right now on how you're outlook and guidance, and how conservative actually for the year? 
Alexander Karavaev: So we believe it is probably conservative, but we would like to actually to commit to a target that we absolutely felt sure we will be achieving. So we now have really a lot of new things in the pipeline, both in QIWI Distribution and QIWI Wallet. We need to launch them and see how they're performing. Hopefully we'll see some announcements within next several months or so with the new products and new alliances. So, we basically see all those products as a potential upside for the existing guidance. But again, look we provided -- this is basically our commitment that we think is perfectly achievable. 
Robert Napoli: Great, that's helpful. Just one of the big risk factors for your business, Sergey and Alexander, is the anti-money laundering, money laundering. I mean what -- and I'm sure you -- with your partnership with Visa, especially you've had a -- gone through a lot of protections against that. But what are your thoughts on the risks around money-laundering? What makes you very confident that you're protecting --  that the QIWI network is protected from the bad guys, if you would? 
Sergey Solonin: We are, as you know, we are a bank in Russia. So we are completely complied to all the bank regulations. We are also complied with the law on national payment system in Russia, so we don't foresee any significant changes on that. And also, we have developed a lot of mechanisms internally on monitoring and on -- we have a lot of procedures to work with that. So we don't see huge risks in that. 
Robert Napoli: Great, and just last question, as a growth company, technology growth company, your capital expenditures as a percentage of revenues are pretty low. I just -- is -- why is that? I mean why is there not more? Are you expensing more items that might otherwise be capitalized?  Or why -- what are the major CapEx programs that you have, and what you expect the CapEx to be as a percentage of revenue over the long-term? 
Alexander Karavaev: Well, look, I mean we historically have been CapEx wise [ph] and actually we expect to be CapEx wise in the future. So generally speaking, the majority of our investments, I mean investment would go fill the net revenue by actually providing a lot of services at lower margins to attract the consumers. And in the operating expense, so actually the majority of the development of course, we're doing is keeping in the production expenses. And some of it for our IT guys and the product guys. In terms of the CapEx, so generally, the CapEx would be represented primarily by the server equipment and by certain equipment that we need for the security infrastructure to which we pay a lot of attention. But we really, now are running kind of lower capacity compared to what we have in our -- in data centers. So we really would not be expecting any significant CapEx in the next few years. So it historically has been from USD 3 million to USD 5 million a year, and that's sustainable level for the next few years, we would believe. 
Operator: The next question is coming from the line of Dave Koning from Robert W. Baird. 
David Koning: And I guess my first question is just on the QIWI Wallet, the 3 key drivers are obviously the number of accounts that have been growing, the spending per wallet and then the yield. And you talked a little bit about the yield already in e-commerce. But the one thing I wanted to pursue a little bit was just the average spending per wallet is up a lot, about RUB 4,000 per quarter, so I guess it's USD 130 about per quarter. I'm wondering, how much can that go up over time? Could that be RUB 8,000 per quarter at some point in the future? Maybe how do you gauge that and where can that go? 
Alexander Karavaev: Yes. Okay, that's not -- it's really, it's a nice trend that the -- actually that the engagement fee is growing. So it's not only, I mean, if you see the 30 million active accounts on an annual basis, then it's already at quite a nice parameter. But what we'll see -- what we do see inside is that the users are using QIWI Wallet more often to pay for wide variety of services. And that is actually the -- lot of benefit in their expense. In terms of the future, now look, so far if you're talking about the, let's say our percentage in the total disposable income, and the cash spent in the pay of Russian population. So I do not recall the exact numbers, but it certainly should be less than 2% in total. And the whole industry of e-payments is just the volume, and we have already reached some scale, but we are just starting. So I think that the upside in terms of the growth of volumes per wallet, it's really huge. So it's not only -- we've only penetrated like a considerable small-market of virtual wallet. Now the next stage would be, basically, moving cash on delivery to online payments; and that's a trend that we already see in the market. And third, it's more a long-term vision, then it's basically moving to the point of sale, not by off-line retail. So I mean given all those effects, I mean, mid- to long-term, the expense per wallet can really arrive many times. 
David Koning: Okay, great. That's very helpful. I guess the second question, and Bob kind of discussed this a little bit with you too, is just that guidance looked somewhat conservative, and one way we looked at it is that basically, you could do the same revenue as in Q1, the rest of the year, basically flat sequentially, and kind of still hit the guidance range. That seems conservative. And when we think of the drivers' yield, I know yield can move around, so it doesn't sound like you want to guide to that going up a lot. But the other couple of things, like wallets and spend per wallet, things like that, I would imagine you still expect those to grow throughout the year. So maybe you can just talk a little bit about levers to either beating guidance or keeping guidance in line. I mean, could yields go down? I mean, is that maybe wise, there's a little bit of conservatism in your guidance? 
Alexander Karavaev: No, I mean, well they thought for -- again, we think that in terms of the guidance, we would like to announce that the market, what we think, is perfectly achievable. Of course, we will consider on basis of our commitments. Given that we have really certain new products and certain new announcements within the next few months as we just need to launch and see how it goes. But generally speaking we -- after we issued Q2 results or Q3 results, we made the guiding view on the annual growth rate in terms of the net revenue and net profit. So we are not in a position to re-guide now after Q1. We need some more visibility throughout the year. 
David Koning: Yes. Okay. That's fair. And then 2 just short accounting questions. I mean it looked like on the income statement, on the adjusted income statement, that the tax number and the tax expense was the same both on the GAAP basis and the adjusted basis, and I'm just wondering, typically we see companies that have a little higher adjusted tax rates, because once the adjustment profit is higher than GAAP, then they have higher tax number as well. 
Alexander Karavaev: Excuse me, David. I'm not sure I understood. You are comparing the total tax including the deferred tax to adjusted net income? Or... 
David Koning: Yes. I think that the GAAP tax that you reported was -- I think it was like RUB 136 million. And it looked like there was no adjustment for that necessarily in the adjusted net profit. And I'm just wondering, and maybe that's just the intention. I'm just not sure if that's, if it's... 
Alexander Karavaev: Okay, I got it. On how that would be -- how that reconciliation from GAAP, I mean net profit to adjusted net profit works is that, one, they adjust for tax effect of taxable items, those items that would affect the tax. Meaning that in Q1, 2013, the majority of the reconciling items would be either nondeductible or nontaxable. So that's what's happening. In 2012, in Q1 2012, certain reconciling items are either taxable or deductible, that's why you will see a substantial taxable reconciling item in the reconciliation. What -- generally speaking on the tax rate, I mean you probably have seen in terms of the U.S. GAAP, the effective tax rate decreased a little bit in Q1 2013 as compared to the last year. And that's very simple. I mean last year we had some loss-making subsidiaries, which we disposed of. And we -- I mean, given the scale of tax efficiency, we managed to achieve the greater percentage of deductible expenses in the business, which is pretty natural for the growing business. 
David Koning: Okay, that's great. And my last accounting question. Just free cash flow, on paper it looks negative in Q1. But I think those, all those are working capital accounts that are kind of -- that are almost adjust out the payables and receivables. And an underlying basis, cash flow looks like it was quite strong. Is that the right way to think about it? 
Alexander Karavaev: Absolutely, that's correct. And I think we discussed that. So generally speaking, what's happened in Q1 of every year is a decrease in working capital. It works in a way that at the end of December, all the agents after depositing quite substantial and basically abnormal amounts of cash with us; because starting from January, the banking season is closed for like 9 or 10 days, and they used to have the deposits to be able to operate. And then during the Q1, although deposits are basically written off against the payments of the consumer. You just see back to normal as of the end of Q1. But generally speaking, we do the net of working capital usually, and the way to look at the free cash flow that's really available for the company to use for, I don't know, M&A or dividend. It would usually be pretty close to the adjusted net income. So it's basically cash adjusted revenue minus cash adjusted expenses of how we look at it. 
Operator: Our next question is from the line of Nick Robinson of Renaissance Capital. 
Nick Robinson: Just 2 quick questions. Firstly it's on the QIWI Wallet International business. Is there any update you could give us on progressing Kazakhstan or any other markets? 
Sergey Solonin: Well as for now, we are progressing on several projects in Russia. And we are planning to do Kazakhstan as our next step for QIWI Wallet. So I think this year we are not planning any extensions abroad. 
Nick Robinson: Okay, thanks. Kazakhstan, I think, you said something we should expect news on during this year? Or is that something also for 2014? 
Sergey Solonin: Yes, this year. 
Nick Robinson: Okay, great. And then my second question is on the regulatory environment in Russia. There was an article recently talking about potential changes coming into the payments loan that might negatively affect the ability to receive refunds on prepaid cards, so that would affect people undertaking e-commerce transactions with prepaid cards and wallets that are based on them. Is there anything you could update us on about that? Or if you see that as a problem, or that is maybe just a journalist misreading the story? 
Sergey Solonin: Well, we'll be working under the national payment system law. So we are working at electronic wallets, so it's a little bit different. And we don't see any significant changes planned on this law. 
Operator: [Operator Instructions] Our next question is from the line of Daria Fomina of Goldman Sachs. 
Daria Fomina: My first question is concerning the effects of options over subsidiaries and associates. And we can see this effect in 2010. And I would like to know the nature of this affect. And is it a one-off or we can see it in the future? 
Alexander Karavaev: Excuse me, I am not sure I understand. The effect on the financial in 2010, in what line item? 
Daria Fomina: Yes. And can you just, I mean, is it a one-off, or just as you -- or we can see it in the future? 
Alexander Karavaev: Excuse me. It's just options, or... 
Daria Fomina: Options on some subsidiaries and associates. 
Alexander Karavaev: Okay, understood. So yes, we've basically had -- understood, we have certain options over subsidiaries related to both operations that we sold of. So generally speaking, we do not have any plans to have the financial instruments [ph] over the noncontrolling stakes of the subsidiaries, it can be in the near future. Though, it will depend on certain circumstances. If we think that, we will be needing to make some M&A transactions then we may have some financial instruments. 
Daria Fomina: Okay. And my second question is concerning the rate of growth of terminals and kiosks. And do you assume that they are going to grow faster or at the same level that we have today? 
Sergey Solonin: Well, as you see from our reports, they're not growing and we are not planning them to grow, because we think that we have more or less enough points of sales today. And our goal, specifically to increase the volumes of transactions per point of sale. So on each point of sale, we expect that the turnover will be increasing. And on the numbers side, we don't expect any big increases or -- we should be quite stable. 
Operator: There are no further questions at this time. I would now like to turn the floor back to management for closing comments. 
Sergey Solonin: So thank you very much for this first experience, first earnings call for QIWI. Well, we hope that QIWI will continue to have successful months in the future. Well, I thank you very much, all of you. 
Operator: This concludes today's teleconference. You may now disconnect your lines at this time. Thank you for your participation.